Operator: Ladies and gentlemen, thank you for standing by and welcome to the Cohen & Steers' First Quarter 2015 Financial Results Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded Thursday, April 16, 2015. I would now like to turn the conference over to Mr. Adam Johnson, Senior Vice President and Associate General Counsel. Please go ahead.
Adam Johnson: Thank you, and welcome to the Cohen & Steers' first quarter and 2015 earnings conference call. Joining me are Chief Executive Officer, Bob Steers; Executive Chairman, Marty Cohen; our President, Joe Harvey; and our Chief Financial Officer, Matt Stadler. Before I turn the call over to Matt, I want to point out that during the course of this conference call we may make a number of forward-looking statements. These forward-looking statements are subject to various risks and uncertainties and there are important factors that could cause actual outcomes to differ materially from those indicated in these statements. We believe that some of these factors are described in the Risk Factor section of our 2013 Form 10-K, which is available on our website at cohenandsteers.com. I want to remind you that the Company assumes no duty to update any forward-looking statements. Also, the presentation we make today contains pro forma or non-GAAP financial measures, which we believe are meaningful in evaluating the Company's performance. For disclosures on these pro forma metrics and their GAAP reconciliations, you should refer to the financial data contained within the press release we issued yesterday, as well as in our previous earnings releases, each available on our website. Finally, this presentation may contain information with respect to the investment performance of certain of our funds and strategies. I want to remind you that past performance is not a guarantee of future performance. This presentation may also contain information about funds that have filed registration statements with the SEC that have not yet become effective. This communication is not an offer to sell or the solicitation of any offer to buy these securities. For more complete information about these funds, including charges, expenses and risks, please call 1800-330-7348 for a prospectus. With that, I will turn the call over to Matt.
Matt Stadler: Thanks, Adam. Good morning, everyone and thanks for joining us today. Yesterday, we reported net income of $0.45 per share compared with $0.43 in the prior year and $0.34, sequentially. Operating income per share was $0.47 for the quarter compared with $0.39 in both, the prior year and the sequentially quarter. Revenue for the quarter was a record $83.8, compared with $72.8 million in the prior year and $81.8 million, sequentially. The increase in revenue from the prior year's quarter was attributable to higher average assets under management, resulting from market appreciation, partially offset by net outflows from institutional sub-advised accounts. Average assets under management for the quarter were a record $55 billion compared with $47.7 billion in the prior year's quarter and $52.4 billion, sequentially. Our effective fee rate for the quarter was 57 basis points, in line with the fourth quarter. Operating income was $34.5 million, compared with $27.6 million in the prior year and $32.4 million, sequentially. Our operating margin increased to 41.2% from 37.9% in last year's quarter and 39.5%, sequentially, highlighting the operating leverage that has been created. The margin expansion was primarily due to lower compensation and benefits and G&A costs relative to revenue. Pre-tax income, net of non-controlling interest was $33 million for the quarter, compared with $33.6 million in the prior year and $28.3 million, sequentially. Non-controlling interest represents third-party interest in the funds we have consolidated. Assets under management at quarter end were a record $54.7 billion, an increase of $1.5 billion or 3% from December 31st. The increase in assets under management was attributable to market appreciation of $2 billion, partially offset by net outflows of $451 million. Assets under management in institutional accounts totaled $26.7 billion at March 31st, an increase of $503 million or 2% from the fourth quarter. The $26.7 billion marks the highest level of institutional assets under management since the second quarter of 2011. The sequential increase in institutional assets under management was due to market appreciation of $1.1 billion, partially offset by net outflows of $618 million, the majority of which represents distributions out of sub-advised portfolios in Japan. Encouragingly, we recorded net inflows into all of our core non-REIT real asset strategies. If you annualize first quarter flows, institutional accounts had a 9% decay rate. Bob Steers will provide some color on the level of activity in our institutional pipeline in a moment. Our open-end funds had record assets under management of $18.1 billion at March 31st, an increase of $931 million or 5% from the fourth quarter. The increase was due to market appreciation of $764 million and net inflows of $167 million, which included $214 million of platform related redemptions from our European real estate CCAs [ph]. If you annualize first quarter flows, open-end funds had a 4% organic growth rate. Assets under management in our closed-end totaled $9.9 billion at March 31st, an increase of $95 million or 1% from the fourth quarter and that was all due to market appreciation. On a sequential basis, expenses decreased 1%, primarily due to lower G&A and employee compensation and benefits, partially offset by higher distribution and service fees. The decrease in G&A was primarily the result of lower sponsored client conferences, relative to last quarter, when we sponsored conferences both, internationally, on behalf of our distribution partners in Japan and domestically for a wealth management intermediary. The compensation to revenue ratio for the quarter 31%, consistent with the guidance provided on our last call, and the increase in distribution and service fee expense was consistent with the change in the average assets in our open-end mutual funds. On a sequential basis, non-operating loss, net of non-controlling interest decreased $2.5 million from the loss of $4 million, last quarter to a loss of $1.5 million in the first quarter. Non-operating loss was primarily due to lower unrealized losses from our seed investments, the majority of which were held in commodity, MLP and midstream energy strategies. On our last call, we projected an effective tax rate of 36.5% for 2015, that projection include an estimate for non-operating gains, which due to accumulated capital loss carry forwards would have resulted in no associated tax expense. Based on first quarter results, our revised projection of non-operating gains decreased, resulting in an increase in our estimated effective tax rate to 37%. Now, turning to the balance sheet, our firm liquidity totaled $158 million compared with $177 million in the fourth quarter. Stockholders' equity was $228 million compared with $231 million at December 31st, and we remain debt free. Let me briefly discuss a few items to consider for the second quarter and the remainder of 2015. With respect to compensation and benefits, we expect to maintain 31% compensation to revenue ratio. We still expect G&A to increase between 6% and 8% from 2014, with the second quarter approximating the amount recorded in the fourth quarter of last year. Finally, based on our preliminary projections, we expect our effective tax rate will approximate 37% for 2015. Now, I would like to turn it over to Bob Steers.
Bob Steers: Thanks, Matt, and good morning. During the quarter, we saw a continuation of many of the same trends that we been experiencing throughout the year. Relative investment returns across the full array of our real asset and income strategies were strong and retail demand for our income focused strategies was high. However, we are also seeing consistent rebalancing activity mainly in real estate, driven by strong returns and concerns regarding the prospect of a sustained rise in interest rates. Institutional demand for income is more tepid, while real asset strategies especially global listed infrastructure are seeing growing interest around the globe. More than ever the path of future global economic growth in U.S. interest rates will likely dictate the direction and composition of future asset flows. While there is little doubt that strategies that offer only income returns without growth prospects will suffer in a sustained rising rate environment, same cannot be assumed for investments which offer income with growth and the prospect of inflation protection as real asset strategies have proven to do. Turning to investment performance, this was another quarter of stellar results. All nine of our core investments strategies outperformed their benchmarks and most by a wide margin. For the latest 12 months, eight at nine strategies have outperformed with active commodities as the only exception. Equally important, currently all eight of our core strategies with a three-year track record have equaled or exceeded their benchmarks. Absolute returns in the quarter were mixed with REIT's preferred securities and infrastructure delivering solidly positive returns while commodity and energy related strategies remained weak. As Matt noted, total firm-wide net outflows in the quarter were $451 million, but flows diverged significantly by channel and by strategy. Gross flows in the U.S. wealth channel rose to $1.6 billion, a 20% increase over the fourth quarter of last year and the highest level since the second quarter of 2013. Net flows into our preferred securities fund were particularly strong, while our REIT funds experienced modest net outflows, despite strong absolute and relative returns. Encouragingly, total net inflows into our U.S. open-end funds were $390 million. However, our European REIT CCAP, Which delivered in excess of 40% returns over the past 12 months, received $214 million platform related redemption, so total open-end fund; our net inflows were just $167 million. Activity in our institutional advisory channel is on the rise and the primary focus is real assets. Net outflows totaled $189 million in the quarter, driven by a $280 million rebalancing from U.S. REITs by a longstanding pension fund relationship that remains a large and satisfied client. On the other hand, we were pleased to fund a new $75 million global listed infrastructure account and land our first natural resource equity mandate for $73 million, which was funded in the first quarter. RFPs for the full range of real asset strategies are increasing and currently our pipeline of awarded but unfunded mandates is approximately $400 million compared to $315 million in the fourth quarter. Sub-advisory outflows ex-Japan were a modest $19 million. Net inflows into our large cap value and commodity strategies were offset by rebalancing related outflows from global real estate and global listed infrastructure. Looking ahead, we were pleased to announce last week that we have been selected by Argo Investments to sub-advised Argo Global Listed Infrastructure Limited. Argo, which was founded in 1946 and is a leading Australian listed investment company with over 75,000 shareholders, intends to create a GLI as a new listed investment company on the Australian Stock exchange. For Cohen & Steers, this is a great opportunity to grow assets with a strong partner and raise our profile in a large institutional marketplace that traditionally favors real assets. Subject to market conditions, we expect this investment company to be listed in the second quarter. In Japan, we saw net outflows of $410 million in the quarter. Of these outflows, $108 million was from a REIT preferred fund launched late last year that achieved its 15% return target, triggering an automatic liquidation. Our partner is already back in the market with a replacement term fund, which is going well. With yen denominated U.S. REIT returns exceeding 49% last year, not surprisingly there has been some profit taking in this strategy. That said, we did still have U.S. REIT net inflows of more than $185 million, just not enough to offset distributions to shareholders. Looking ahead, we are cautiously optimistic on our growth prospects for the remainder of the year. Our one and three-year performance numbers position us well to compete for income and real asset flows in all channels. Investor demand for each of our strategies is increasing with rebalancing out of real estate the main countervailing force. Even here investors could be in for a surprise. History shows that REITs have generated an average annual return of over 11% during the six monetary tightening cycles that have occurred since 1979. Time will tell, but in any event, we believe, that we are well-positioned to deliver future growth. With that, operator, let us open it up to questions.
Operator: Thank you, ladies and gentlemen. [Operator Instructions] The first question comes in line of Adam Beatty with Bank of America Merrill Lynch. Please go ahead.
Adam Beatty: Thank you. Good morning. You mentioned in the discussion of flows, some of the distributions that occurred in the quarter. I would be interested in maybe a little bit more detail on that and also the trend in the outlook and what you expect in terms of distributions going forward.
Matt Stadler: I assume you are referring, Adam, to be a distributions from the Japanese base funds?
Adam Beatty: Correct.
Matt Stadler: The distributions have been fairly consistent over time and they approximate $2 billion on an annual basis. That really hasn't changed much.
Adam Beatty: Okay. I appreciate it. Just looking across the firm at the different flow trends, it looks like maybe the international trends are a little bit softer than domestic and maybe that is a result of some appreciation and rebalancing. Do you think with the foreign exchange trends overall and the strong dollar is having impact on flows?
Matt Stadler: You know that is a tough question to answer. We are, I think, seeing in the wealth channel a shift into the European strategies of all kinds, so I think the investor demand for European real estate strategies or global real estate strategies is rising and demand for U.S. REIT funds is relatively flat. If you look at the industry data, actively managed open end U.S. REIT funds for the first quarter flows were flat or down somewhat industry-wide despite the other strong performance.
Adam Beatty: Sure. That makes sense. Thank you. Then just one final one, on the outlook for marketing activity, Matt gave some guidance around G&A. Just wondering about the strategy there and whether the approach of holding conferences and real assets institute is going kind of be maintained at the current level or do you expect to tapper of that off sometime later this year or maybe next?
Matt Stadler: Currently, the plans are for that activity to remain high. There is you know a little bit of seasonality to it, so typically we won't have conferences in the summer months, particularly July and August when folks aren't around. Then it picks up significantly in the fall, but we are finding the reception to the real asset institutes both, in wealth management and institutional channel has been extremely strong, so our plans are to continue at the current levels for the foreseeable future.
Bob Steers: Adam, just as a reminder, last quarter the guidance for 2015 included the 6% to 8% increase includes, an uptick in the investment in the real asset institutes, plus the recognition that there is going to be more international travel. We now have is Argo initiative and we have got the extra distribution partners in Japan, so that is part of the increase in the G&A year-over-year.
Adam Beatty: Okay, so you will be doing maybe some partner marketing with Argo or what have you?
Bob Steers: Yes.
Adam Beatty: Yes? Okay. Sounds good. Thank you very much for taking all my questions this morning.
Operator: Thank you. [Operator Instructions] The next question comes the line of Mac Sykes of Gabelli. Please go ahead.
Mac Sykes: Good morning, gentlemen. Just for Steve [ph], and I am not sure if you listened live I think this morning on the BlackRock call, but he had a pretty good shout out about infrastructure spending on the importance of it and shifting his platform to take advantage of it, so if you have not seen the transcripts I suggest you do, but can you provide a little more detail about the Australian listing, just how we will it be funded. Will it be closed-end? How you account for in the AUM mix?
Matt Stadler: It is a sub-advisory relationship, so it's a fund that is going to be launched by Argo. We will be the sub-advisory, so those assets will be listed in the in the sub-advisory category. It will be marketed in a similar fashion to a U.S. closed-end fund and it will be listed like a closed-end fund. Argo, as I mentioned in my remarks, is one of the oldest and the most well respected of the listed investment companies in Australia that has been around a long time. They have on a large installed investor shareholder base and they have assembled a very significant syndicate in Australia on that road show will be starting in the relatively near future.
Mac Sykes: Do you have any expectations?
Joe Harvey: This is Joe Harvey, just a couple of more points on the Australian listed investment company market and contrasting it to U.S. market. It is a smaller market - whether it has been more activity over the past year or so. Of one of the features of new issues in Australia is that they embed an option into the pricing of the funds, so if the performance is good and the shares trade up relative to the option for the initial public offering price than there could be a second funding of the closed-end fund structure within the first couple years of the fund. The other thing that is a little bit different than what you see in the U.S. is a little bit less focused on current income, which is as good for us because it gives us the ability to manage for total return and produce the best results possible.
Mac Sykes: Then, I was sort of curious as to the divergence. I think you mentioned a little bit about this, but the inflows preferreds. I mean mutual fund obviously did very well, but sort of the outflows on institutional. Just curious as to sort of the appetite there, was it just sort of a one-off in terms of the institutional component.
Bob Steers: I am not sure what the question is, but if I understand it correctly, I would say that we had very significant flows into our preferred strategy in particular in the wealth channel and that continues. I think that is the combination of, obviously, the continued demand for income and just the extraordinary short and long-term record that fund has. In contrast, we are getting profit taking and whether it is European strategies are up 40% or 50% in the last year in U.S. REIT strategies that are up significantly. We are seeing strong flows, but we are also seeing profit-taking both, in the wealth channel and also institutionally.
Mac Sykes: Great, that answer it. Thank you very much.
Bob Steers: If I could just add to your comment about [ph] comments regarding infrastructure are significant. We have been saying for a while and it feels like it is starting to happen. Listed infrastructure today is where REITS were 15 or 20 years ago. There is no doubt that there is a almost undefinable demand for capital to replace aging infrastructure and built new infrastructure that goes well beyond any government's ability to finance that, so the capital markets just as REITs did are going to have to be a central components of the global infrastructure build out and we are seeing it happen in terms in the marketplace with IPOs. We are absolutely seeing an increase in demand for global listed infrastructure accounts, mainly institutionally. Wealth management, except for some targeted yield-oriented strategies in that space, I have not yet gotten too excited about it, but institutionally, all around the globe Asia, as well as Europe, demand for infrastructure strategies public and private is definitely on the upswing and our thesis and our view is that this is the very beginning of a powerful secular trend.
Matt Stadler: The securitization activities Bob mentioned has been pretty dynamic and illustrates what is going on. We have seen IPO, a very successful IPO of the Spanish airports, so privatization transactions the government raising money. Another interesting dynamic is, our vehicles that are created to deliver income from infrastructure assets, so we have seen a power generation, transmission assets being structured in a REIT structure, so if you can marry these hard assets, which have strong cash flows predictable and growing cash flows and then deliver those characteristics in a tax-efficient vehicle such as REIT or an MLP, there is very significant demand, so multiple like IPOs and MLP structures, we have had the first REIT and infrastructure. We have more and more YieldCos, which are bringing solar and wind assets to the public market and it is providing a growing universe for our team to mine also opportunities.
Operator: Thank you. [Operator Instructions] The next question comes from Adam Beatty Bank of America Merrill Lynch. Please go ahead.
Adam Beatty: Hello, again. Thank you for taking my follow-up. Just wanted to ask about there was a fund, I think in Japan that had a forced liquidation based on hitting a performance target, which is obviously a good outcome, but doesn't necessarily look great for the flows. It would be great if you could size how many other strategies, or how much AUM or what have you that is out there for Cohen & Steers with a similar structure and are there some that are close to hitting targets that would also force either redemption or liquidation? Thanks.
Matt Stadler: That preferred fund that was launched in, I think, October of last year was the first fund that we have in Japan, which has about two features to it. One is a limited term and in that case it was a three-year term. Second feature was to have an automatic liquidation if the fund achieved a 15% return. That liquidation has happened, but as Bob mentioned, we are with dialer marketing the next in that term series which is intended to be an ongoing series of term funds for the preferred strategy, so none of our other sub-advised portfolios in Japan have that feature. Just for clarification, the 15% return came in part through the income and appreciate we generated, but the majority of it came from yen depreciation versus the dollar, so kind of high-class issue of having a short life to that fund, but providing a spectacular return for investors in Japan.
Adam Beatty: Got it. That is very helpful. Thanks again.
Operator: Thank you. At this time, there are no further questions. I will now turn the call back over to Mr. Adam Johnson. Please go ahead.
Adam Johnson: Thank you. That concludes today's presentation. Thanks for participating, everyone.